Operator: Good morning, and welcome to the Bryn Mawr Bank Corporation Fourth Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mike Harrington, Executive Vice President and Chief Financial Officer. Please go ahead.
Mike Harrington: Thank you, Andrew and thanks everyone for joining us today. I hope you had a chance to review our most recent press release. If you have not received our press release, it is available on our website at bmtc.com or by calling 610-581-4925. Also on the call with us today are Frank Leto, President and CEO; Joe Keefer, our Chief Lending Officer; Gary Madeira, our Head of Wealth Management. The archives of this conference call will be available at the Bryn Mawr Bank Corporation website or by calling 877-344-7529, referring to conference number 10077462. A replay will be available approximately one hour after this call concludes and will be accessible until 9:00 a.m. Eastern Time on Friday, February 5, 2016. Before we begin, please be advised that during the course of this conference call, management may make forward-looking statements which are not historical facts. Please refer to the disclaimer labeled forward-looking statements and safe harbor in our earnings release for more information regarding what constitutes a forward-looking statement. All forward-looking statements discussed during this call are based on management’s current beliefs and assumptions and speak only as of the date and time they are made. The Corporation does not undertake to update forward-looking statements. For a more complete discussion of the assumptions, risks and uncertainties related to our business, you are encouraged to review our filings with the Securities and Exchange Commission located on our website. I would now like to turn the call over to Frank.
Frank Leto: Thanks, Mike and I would like to thank all of you for joining our conference call today. I hope you had a chance to review our fourth quarter earnings release, which was issued yesterday after the market closed. As anticipated, the Corporation reported a net loss of $6.5 million for the quarter, as a result of the $17.4 million pretax loss on the termination of our corporate pension plan. As we indicated in our third quarter earnings call, the decision to terminate the pension plan was undertaken in order to eliminate the volatility and unpredictability of the effects that the continuation of that defined-benefit plan would have on the Corporation’s earnings. In addition to loss on the pension termination, there are number of other expense items which we take into account in determining what we refer to as our core earnings. These expense items include due diligence, merger related and merger integration costs, severance expense, branch lease termination expense, debt and swap prepayment penalties, and impairment of intangible assets. In addition and adjustment is made to exclude the gain on sale of available for sale investment securities. After adjusting for these items, core earnings for the fourth quarter of 2015 totaled $7.5 million or $0.44 per diluted share as compared to core earnings of $7.4 million or $0.53 per diluted share for the same period in 2004. [Ph] We experienced a great deal of change during 2015 beginning with the acquisition of Continental Bank at the beginning of the year, the rollout of several new strategic initiatives, the further enhancement of our insurance division and overall of a majority of our banking information systems, several office renovations and the closure of redundant branches and offices. In addition, during the year, we completed an enterprise-wide staffing and management reorganization designed to refocus and revitalize the Corporation for long-term growth. We believe that these strategic decisions have positioned Bryn Mawr Trust to move forward as a more efficient and effective organization. As we saw in the third quarter of this year, loan growth continues to be excellent. Net portfolio loans grew by $40.2 million or 1.8% during the fourth quarter with commercial and industrial, construction and residential mortgages accounting for the majority of the increase. This net loan portfolio growth included the pay down of acquired loans of $38.8 million during the quarter, bringing net organic growth -- loan growth to $79 million for the fourth quarter. Our credit quality continues to be excellent with non-performing loans as of December 31, comprising just 43 basis points of total loans, down from 61 basis points at the end of 2014. During the fourth quarter, we charged off nearly $1.9 million of impaired loans for a number of reasons. These included newly performed appraisals on collateral dependent loans as well as the resolution of several credits where improvements which we have been anticipating were not coming to fruition, indicating that write-downs and charge-offs were warranted. Wealth assets under management continued to grow steadily with year-end assets reaching $8.4 billion and 8.6% increase from 2014. With no wealth acquisitions during 2015 and a fairly flat market, this growth was primarily organic and is the result of strategic initiatives as well as increasing synergies between our commercial lending group and wealth division. While a portion of this asset growth is in products for which the bank receives fixed fees, a significant portion earns fees based on market performance and is well-positioned to benefit from improvements in the equity markets. One of our strategic initiatives that began towards the end of 2014 was the build out of our residential mortgage banking division. During 2015, residential mortgage originations totaled $231 million, almost doubling the production we’ve seen in 2014 with nearly 60% of loans being sold into the secondary market. We expect that with increased staffing and back office support in place, the division should subject to market conditions, surpass this origination volume in 2016. Another strategic initiative rolled out at the beginning of the fourth quarter of 2015, the non-traditional commercial mortgage venture has began to gain momentum, booking $3.4 million of high yielding small ticket loans by the end [ph] of the first quarter of operation. On the capital front, in 2015, the Corporation repurchased 862,500 shares through its announced repurchase plans at an average price of $29.77 per share. For the past 91 consecutive quarters, we paid dividends to our shareholders. We are very proud of our record and feel very fortunate to have the continued loyalty and support of the shareholders. Therefore, I am pleased to announce that on January 21, 2016, the board of directors of the Corporation declared quarterly dividend of $0.20 per share payable on March 1, 2016 to shareholders of record as of February 2, 2016. In summary, we believe our business model is sound and we are in an excellent position to take advantage of opportunities for continued profitable growth and strong performance. As we along with other community banks continue to be squeezed by tightening interest margins, we strive to identify new ways to diversify and expand our non-interest revenue streams. We continually evaluate acquisition opportunities as they arise with a focus on quality and compatibility and believe we are poised for continued profitability and growth. And with that, we’ll open up the line for questions, and operator if you can pose a Q&A roster?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Michael Perito of KBW. Please go ahead.
Michael Perito: Maybe first question for Gary just on the wealth business. I mean the year-over-year, you guys grew the revenues but it looks like the last few quarters it kind of has been trending down. And I’m assuming at least from a market standpoint, the first quarter of this year is off to a pretty difficult start. Any outlook on the ability to maybe grow that line year-over-year, and how the quarter is tracking so far, given the market weakness?
Gary Madeira: Well, you’re right; it’s hard to fight the market unfortunately. And as was noted, we had reasonably nice year in terms of AUM growth; a lot of that came in lower margin but fixed fee businesses. So that will help or buffet our results somewhat, but it’s a little hard to fight the market. I would add that we’ve got a pretty robust pipeline going into the first quarter of 2016 of new business. So, we’ll see how that plays out. And hopefully some of the business we booked in the fourth quarter, there will be a revenue catch up in the first quarter. So, all of those things will be helpful but again, tough to fight the market.
Michael Perito: And then Frank on the expenses, it seems like there were few things that you guys maybe clearing the deck for next year. Any guidance you guys can help us out with in terms of what we should expect maybe for a good starting point on a quarterly expense run rate for 2016? Now that seems like lot of these one-time items and the pension settlement is in the books.
Mike Harrington: Michael, this is Mike Harrington. I think the message has been we’re going to run the business in that $25 million to $26 million range. And if you strip out all the one-time costs, you kind of get back to that number which that’s where it’s been trending in that area the last couple of quarters. So, I’d say that’s a good run rate number for us.
Frank Leto: The only thing I’d add to that Mike is and I think we said this last quarter when we announced non-traditional mortgage lending opportunities, we’ll be looking for opportunities, for lift out opportunities. So, there may be some short-term blips here and there, if we find something that we feel strategically and long-term makes sense for the bank. But I think Mike has nailed right on the ahead; we’ve been saying, I think most of the last year, we’ve given that $25 million to $26 million and I think that’s a safe bet.
Mike Harrington: So, just take all the one-timers out of a run rate in Q4 and that’s normalized.
Michael Perito: 25.5, yes.
Mike Harrington: That’s a normalized number.
Michael Perito: So, I guess the follow-up to that, if I look at the last two years, obviously you guys had almost on a core basis used basically flat expenses in ‘14, obviously it was up quite a bit in ‘15. Are we returning now going forward to a more -- and I guess taking Frank your comments on being optimistic, is like a 3% or 5% depending on what you guys do from a hiring and strategic standpoint, kind of are we more at a more normalized expense growth run rate now that all the stuff in 2015 is behind us?
Mike Harrington: I think the best I can do it for you Michael is just -- Q4, when you normalize that as a good run rate number and just what you sort of figure out what you think inflationary adjustments need to be into that
Michael Perito: And then Mike, maybe one more for you just on the margin, it jumped up a bit. I mean it seems like clearly yield impact was pretty much in line with what you guys have been saying. How should we be thinking about the near-term trajectory of the margin? Is all of that securities benefit going to stay in numbers as we start the year here or is there going to be adjustment going forward as we saw in the first quarter?
Mike Harrington: Michael, if you adjust for that one-time gain we had on that call that margin was probably couple of basis points lower than that, may be 3,75 or below that. So, other than that there was nothing extraordinary about the margin this quarter.
Michael Perito: So, the increase in the investment yield that should say -- so I mean you guys, I mean, obviously I can make my own assumptions but the 3.75 outside of that 2 basis points, but 3.75 is a good starting point?
Mike Harrington: Yes, there was nothing extraordinary about it other than what we noted in the press release. So, if you normalize for that that was the margin in Q4.
Operator: [Operator Instructions] The next question comes from Matt Schultheis of Boenning. Please go ahead.
Matt Schultheis: So, strategically, just to double check, you are still relatively ambivalent regarding purchasing, say insurance, wealth or a bank, assuming you get cultural fit or has there been any change to your outlook there?
Frank Leto: No change at all, Mike, I think he described it accurately.
Matt Schultheis: And with the amount of disruption in your market, are you getting more looks at lenders or are you getting more looks at relationships even if they’re not coming with the lender? Just the C&I loan that comes due every three years, it’s been with a certain bank for 40 years; it’s all of a sudden play. Are you seeing some of that as well?
Frank Leto: Yes, we are. We are seeing it I think across all the categories you just described. We are getting opportunities to talk to borrowers that don’t even things that are coming due yet looking forward. Joe, do you want to comment?
Joe Keefer: Yes. Matt, I’m very encouraged. I mean, if you look at our loan growth in 2015 and I’m excited by that; our lenders are out calling. And I think as in the past, we’ll continue to be good loan generators.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Frank Leto, President and CEO for any closing remarks.
Frank Leto: Thank you, Andrew. And thank all of you for joining the call. We look forward to talking to you at the end of our first quarter. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.